Operator: Good day, everyone, and welcome to today's Landsea Homes Corporation First Quarter 2025 Earnings Call. At this time all participants are in a listen-only mode. Please note this call may be recorded. And I'll be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Drew Mackintosh, Investor Relations. Please go ahead.
Drew Mackintosh: Good morning, and welcome to Landsea Homes' First Quarter 2025 Earnings Call. Before the call begins, I would like to note that this call will include forward-looking statements within the meaning of the Federal Securities Laws. Landsea Homes cautions that forward-looking statements are subject to numerous assumptions, risks and uncertainties, which change over time. These risks and uncertainties include, but are not limited to, the risk factors described by Landsea Homes in filings with the Securities and Exchange Commission. We do not undertake any obligation to update forward-looking statements. Additionally, reconciliation of non-GAAP financial measures discussed on this call to the most comparable GAAP measures can be accessed through Landsea Homes' website and in its SEC filings. Hosting the call today are John Ho, Landsea's Chief Executive Officer; Mike Forsum, President and Chief Operating Officer; and Chris Porter, Chief Financial Officer. With that, I'd like to turn the call over to John.
John Ho: Good morning, and thank you for joining us today as we go over our results for the first quarter of 2025 and provide an update on our operations. Landsea Homes recorded a net loss of $7.3 million in the first quarter or a net loss of $0.20 per diluted share. Home sales revenue increased 2% year-over-year on a 27% increase in deliveries, partially offset by a 20% decline in average closing prices. Decline in average prices were due in part to a mix shift from higher-priced California communities to a higher contribution of closings from our Florida and Texas operations. Elevated incentive activity during the quarter also contributed to the decrease in ASPs. Net new orders for the quarter increased 11% year-over-year on a sales pace of 3.0 homes per community per month. Overall, we are encouraged by the demand elasticity we saw during the quarter as buyers responded to declines in mortgage rates and higher incentives. Order activity started off slowly to begin the year, then picked up as the quarter progressed. Affordability remains an important issue for most buyers, so financing incentives were a key driver of sales during the quarter. We continue to balance pace versus price at each of our communities with a slight lean towards pace, all things being equal. As a production homebuilder, we feel it is important to price to market and maintain a base level of sales activity. We also made the strategic decision to sell through some of our spec home inventory in an effort to return to a more balanced approach between spec sales and build-to-order homes with 67% of our first quarter deliveries also sold in the same quarter. Our goal is to return to a 50-50 split between specs and build-to-order closings over time. There are several reasons for this strategic shift. First, build times have returned to pre-COVID levels, which has shortened the time frame between selling and closing on a presold home. Second, the margin opportunities are much greater with a presold home as it gives us the ability to charge more for lot premiums and other new home amenities. It also allows the buyer to pick out high-margin options and upgrades for their home as opposed to the standardized packages found in spec homes. Finally, reducing our spec levels lowers the cash tied up in standing inventory and gives us better visibility into our future closings with the buildup of a solid backlog. More balanced strategy is also aligned with our company's approach to homebuilding, which emphasizes product differentiation as a way to attract customers and grow market share. We believe our core customer is a more discerning buyer who wants more out of a home than just a place to live. That is why we have developed and refined our High Performance Homes series to offer the latest in new home technology and innovation. While the pandemic has been over for some time, people continue to spend more time at home than ever before, whether it's a work-from-home situation, in-home entertainment or just dining in. We feel that the stay-at-home dynamic plays into our strengths and believe buyers will pay a premium for a home that fits their lifestyle. Of course, there are other factors that play into the decision-making process when buying a home, the biggest of which is affordability. That is why we continue to work with buyers to find a new home solution and monthly payment that suits their needs. Financing incentives remain a popular option for our customers, looking to lower the monthly cost of homeownership and serve as a great selling tool with buyers looking at both new and resale homes. These incentives do, however, come at a cost to our company, representing 9% of the average closing price in the first quarter. We are optimistic that the combination of better pricing strategies and a higher mix of presold homes will offset some of the negative effects that incentives have had on our margins. We head into the latter half of the spring selling season, we continue to see opportunities to refine our operations and increase our size and scale in the markets we currently build in. While there is some uncertainty surrounding the near-term macro environment, we believe the long-term outlook for our industry remains positive given the need for additional housing supply and the desire for homeownership that is on display at our communities each week. Product differentiation is more important than ever when selling homes in uncertain times, and we feel that having communities in desirable locations and new home designs that stand out from the competition give us a distinct advantage. As a result, I remain optimistic about Landsea's ability to compete and grow our operations over time. With that, I'd like to turn the call over to Mike, who will provide more details on our operations. Mike?
Michael Forsum: Thanks, John. Good morning to everyone. Landsea delivered 643 homes during the first quarter of 2025, which was near the midpoint of our guidance of 600 to 700 closings. Florida led the way in terms of delivery contribution, followed by Arizona and Texas. As John mentioned, the 20% decline in ASPs was a result of a mix shift away from higher-priced communities in California, combined with greater contributions from lower-priced regions. ASPs were actually up year-over-year in Florida and Texas, while ASPs in Arizona declined only slightly. The sales pace in the first quarter came at the lower end of our targeted range of three to four sales per community per month. Arizona posted the highest absorption pace at 3.8, followed by Colorado at 3.7 and Florida at 2.9. Overall, I would characterize current new home demand conditions as uneven with consistent traffic levels being offset by hesitancy to move forward on behalf of buyers. In most instances, however, we can find a way to keep conversion levels steady with the right combination of incentives and pricing adjustments. Build conditions continue to be favorable with good trade labor availability and steady flow of materials to our job sites. The lessons learned during the pandemic and the best practices put in place have resulted in a more streamlined homebuilding operation for our company, leading to much faster backlog conversions and build times. We have not seen any impact from the announced tariffs or the increased scrutiny on migrant labor so far. Lot cost inflation will continue to be a margin headwind for our company in the near term, though we have had success renegotiating the terms of our lot takedowns. We remain disciplined in our approach to new land deals and have seen similar discipline from our competitors, giving us optimism that future land prices will reflect the realities of today's new home economics. We believe the homebuilding ecosystem self-corrects over time and the industry's move to a more land-light operating model may accelerate the timing of that self-correction. Overall, my sense is that we are outselling our competition based on our first quarter absorption pace relative to our publicly traded peers. While we have experienced some margin compression as a result of our use of incentives, we feel it is the appropriate strategy given the current market conditions and the opportunities to reinvest our capital on the other side of this. Our increased focus on presales versus specs should alleviate some of that margin pressure and give us better visibility through the buildup of sold backlog. Now, I'd like to turn the call over to Chris, who will provide more detail on our financial results for the first quarter and give an update on our outlook. Chris?
Christopher Porter: Thanks, Mike. As Mike and John mentioned, our top line growth of 11% on orders, 27% on deliveries and 2% on home sales revenue were bright spots in the quarter. Florida delivered a strong 52% delivery growth and a 53% revenue growth in the quarter. Texas also pulled its weight with 126 deliveries and $48 million in home sales revenue. Texas as a percentage of our portfolio was 20% of our home deliveries and 16% of our revenue. Discounts and incentives for the quarter continued to weigh on gross margins, though, representing 9.6% of our gross home sales revenue. Mortgage incentives, which follow the 10-year treasury were volatile through the quarter, starting out at elevated levels, lowered some in the end of January through mid-February and then peaked again in March. This drove our home sales gross margin before inventory impairments of $1.5 million to 13.5%, the midpoint of our guidance. Adjusted gross margin was reported at a consistent 20%. The $1.5 million inventory impairment was on a DFW asset where we were closing out homes and represented about 50% of our gross margin impact. Interest capitalized through cost of goods sold represented 4.6% of gross margin and the amortization of $5.6 million in purchase price accounting in the quarter represented another 1.9% impact. Our SG&A as a percentage of home sales revenue was 17%, a 180 basis point increase, primarily related to higher sales and marketing costs. Despite not having DFW operations in our comparable numbers from last year, our G&A expenses were up only $731,000 or 2.8% over first quarter of last year, but remained flat as a percentage of home sales revenue. All of these factored into our reported net loss for the quarter of $7.25 million or $0.20 per share. On an adjusted basis, our net loss reduced to $1.73 million or $0.05 per share. We expect incentive levels to remain elevated through 2025 with the actual costs fluctuating with the overall mortgage rate environment. Although after the first of the year consistently saw rate downs in the 4.99% to 5.2% range, for quick move-in homes, towards late February and throughout March, these moved to 3.99% in many of our markets as we competed for closings. As we look into the second quarter, we would anticipate incentive levels to be in the 7% to 9% range. Turning to our balance sheet. We ended the quarter with $256 million in liquidity, $52.3 million in cash and cash equivalents and $204 million in availability under our revolver. This was a roughly $15 million improvement from fourth quarter. Our debt to total capital ratio was 52.1% at the end of the quarter, a 30 basis point increase from year-end, and our net debt to total capital ratio finished the quarter at 48.3%.
Operator: At this time, I would like to turn the call back to Drew Mackintosh for closing remarks.
Drew Mackintosh: Thanks, Reza. In light of the transaction announcement last night, we will not be opening the call for questions. Thank you for your participation.
Operator: This concludes today's program. Thank you for your participation, and you may disconnect at any time.
End of Q&A: